Operator: Good morning, ladies and gentlemen, and thank you for holding. At this time, we would like to welcome you to CSN's conference call to present results for the second quarter 2023. Today, we have with us the Company's executive officers. We would like to inform you that this event is being recorded and all participants will be in a listen-only mode during the Company presentation. Ensuing this, there will be a question-and-answer section will further instructions will be provided. [Operator Instructions] We have simultaneous webcast that may be accessed through CSN's Investor Relations website at ri.csn.com.br, where the presentation is also available. The replay service will be available soon after closing. Now once again, you may flip through the slides at your own convenience. Before proceeding, we would like to state that some of the forward-looking statements herein are mere expectations or trends and are based on the current assumptions of the Company management. And there could be differences materially from those expressed herein as they do not constitute projections. In fact, actual results, performances or events may differ materially from those expressed or implied by forward-looking statements as a result of several factors, such as general and economic conditions in Brazil and other countries; interest rates and exchange rate levels; future rescheduling or prepayment of debt denominated in foreign currencies; protectionist measures in the U.S., Brazil and other countries; changes in laws and regulations; and general competitive factors at a global, regional or domestic basis. I will now turn the floor over to Mr. Marcelo Cunha Ribeiro, CFO and IRO Executive Officer, who will present the operating and financial highlights for the period. Mr. Ribeiro, you may proceed, sir.
Marcelo Cunha Ribeiro: Good morning. Thank you, and thank you for attending one more results call for CSN. We will begin with the highlights of the period. We would like to underscore the strong commercial activity in all segments, highlighting the all-time records even in markets that are decelerating an all-time record and volumes sold in mining. And all of this despite the operational difficulties. Secondly, we would like to highlight the strong cash flow, even with the result below our historical averages. Thanks to the excellent performance and the use of our working capital, we were able to sell our finished inventories with a boost to cash flow, and this will be sustainable. So we have a sound cash flow that will be reflected in coming quarters. We would also like to highlight the Company effort in BRL3.5 billion in prepayments for energy and mining. So as to soften the onetime increase in leverage because of the payment of payout, we get to a leverage of 2.57x. And starting now, we will see a gradual reduction closer to our guideline. We will speak more about this during the presentation. We show you that we reached an EBITDA of [BRL2.2 billion] in the quarter, a drop of approximately 29% sequential compared to the first quarter because of a lower price realization this quarter, along with a moment in the steel mill where the costs continue to be high because of the operating situation and in cement prices below those at the beginning of the year. Because of this quarter, we reached a level lower than we had attend in the last four quarters. Now this confluence of negative factors is a onetime event. And from now onwards, we will return to our average levels of previous quarters. We continue to speak about cash generation. First of all, we will speak about CapEx. We're very close to BRL1 billion, very much in line with our annual guidance, which is somewhat above BRL4 billion. It's natural to have this slowdown in the steel mill with the advance of the projects because of the repairs of coke batteries and advances in mining projects and because of the P15 project. In the coming quarters, we will see similar figures or higher than this [1 million] to be able to comply with our guidance. In terms of working capital, there was a significant reduction, especially in the line of inventories. This is positive commercially. Of course, we're trying to be creative with slabs of difficult application and in the sale of finished products to offset the reduction of volume in the steel area. And because of this, we will hold lower levels of inventory that will also be supported with lower raw material prices. This you should see again in the coming quarters, and this will help our cash flow, which is what we see on the next page, we generated almost BRL750 million in cash, partially returning a significant use of cash in the first quarter, not different to what happened last year. At the beginning of the year, we have a higher application of working capital and in the rest of the quarters, we returned this cash. It is somewhat low, but it is a relevant cash flow. And in the second half of the year with an improvement in operating profitability, this should all accelerate. In the next page, we see that this cash flow, although positive, was not enough to avoid an increase in debt because of the payment of dividend of BRL2.7 billion. Now this leads us to a leverage for the second quarter of 2.78x. However, when we look at the transactions concluded after the close of the month of July, we already have gone down to a leverage of 2.57x. As I mentioned before, we're thinking of five different operations, adding up to BRL3.5 billion is our long-term operations with very good commercial conditions not only in mining, but also in energy, and they will bring about liquidity in different conditions, and they're aligned with the volumes that we had last year. Since 2018, we're seeking this deleveraging with very good results, and it has helped us to get to this level of 2.57x. Now we had a peak in the year and from now onwards, we will be closer to our guidance, which is 2x.In the next page, we see our liquidity that ended up at BRL2.5 billion at the end of July. Now given the transactions, we will be much closer to our informal goal, which is BRL15 billion. Looking forward in the second half of the year, we will always be closer to that figure. It gives us comfort for the investments that we need to make. And with the short-term negotiations, we have a good coverage to support us in coming years. But we continue to work with our amortizations in July. We concluded another issuance of debentures of a term of 15 years to lengthen terms and at very efficient costs. And regarding our debt with the banks, we have paid out some installments and we're holding discussions once again for the lengthening of this debt. We have this constant quest to have a very healthy indebtedness [profile for drop and in] accordance with the future loans and financing that we will have with the sequential drop of leverage. This is what we should expect in coming quarters. Now we'll comment on each of the businesses, beginning with steel. First of all, we'll speak about volume. This quarter, was not particularly strong in terms of demand because of mix trends in the segment. Despite this, we had a growth of more than 10% in domestic sales, and they were not higher because we have a new strategy, which is to bring products from Germany to Brazil. And of course, this increases the period in transit, and we have 50,000 tons eliminated here that will be sold in the second half of the year. Had we sold them in Europe, we could have sold greater volumes. But in Brazil, the profitability will be higher. So with average volumes and prices in the second half of the year, it will be interesting to maintain these prices despite the pressure on imported products. And the results were better than the first quarter, but we had a negative impact of the increase of costs in production. And that is why we have a drop of the margin of 9% to 3%. This margin should return to historical levels. In Page 11, we show you these limitations in production in the last two quarters, buying a production of slabs 30,000 tons, far from our average of [950 to 1 million]. And this is because of the reduction of costs. And our unit margin dropped as well, 34% because of this. Despite this, if we look at our historical results at $20, $30 per ton, we are above our historical levels, and it should have been closer to [200] if the prices were in the right place. So there will be a normalization in the volumes in the coming quarters. We continue to speak about mining. As mentioned, we had absolute records in production, in dispatchment shipment from our terminals and of course, a record in sales. Operationally and commercially, the quarter was very good. Unfortunately, the prices led to a drop in the quarter. But with our sales in quotational period, we had the impact of this variation. And because of this, the price realization had a drop of almost 30%. That is why we see a drop of EBITDA margin from 48% to 30% from BRL2 billion to BRL1.1 billion. Now when we look at the following page, we try to separate these effects, and we see that if we remove these effects from previous periods, it's not a comparison of BRL2 billion to BRL1.1 billion. It would be BRL1.7 billion to BRL1.3 billion and gives us clarity that this considerable increase in volume had a positive effect offset by the drop in iron ore. Now our EBITDA levels would be more than BRL1.5 billion compared to the BRL1.1 billion that we accounted for in this quarter. Finally, when it comes to cement, there is a very interesting ramp-up of our own volumes in the annual comparison. We went from [1.3 million to 3.3 million]. We almost increased this threefold. It's not the right comparison, of course, because we have to consider the values of last year. We still have a growth of 12% annually and a sequential growth of 9%. In the market that basically has walked sideways, we're quite convinced that there will be an acceleration and all of this was possible as to the strategy of filling up the capacity of the plants available, enhancing distribution, and we did this quite successfully. But the revenues did not increase as much as volume. There was an increase of only 2% with a negative impact on price. And this also refers to what is happening in the market with an improvement of demand, the prices increased. Now margins are very similar to the previous quarter, 20% approximately, and we have very positive expectations with materialization of synergies with this merger will go back to our historic levels of [30%], and we do think that there will be better synergies that are already in place. They're simply not more visible because of what is happening with price. With this, I would like to end the presentation on the business. And let's speak about the ESG highlights. I give the floor to Helena.
Helena Guerra: Good morning, everybody. Here we are once again to speak about the highlights of the quarter. As you can see in this first quarter, we are working independently in terms of ESG. We are showing you our qualitative and quantitative indicators and our performance in each of these areas. Once again, these grants are performance in ESG greater transparency. In this first quarter, of course, we have a stability in mining. We continue to evolve in our operational performance. In 2022, we had the lowest rate of accidents in our history, and we ended the year 2023 with results that are even better than in 2022, had a reduction in the [areas of] accidents when compared to 2022.The greenhouse effects are only 40% at present, and we have already incorporated everything that refers to CSN cement with a reduction of 8% compared to 2022. We have also had a reduction of lower consumption compared to the six months of '22 greater operational efficiency when it comes to water consumption and advance in terms of social and diversity. Especially, when it comes to women representation, we have reached 47% of women in CSN Group compared to 2020.And finally, the evolution of the Company and the main ESG ratings in the world. This quarter, we also have an evolution in MSCI rating from B to BB. We were listed on the FTSE4Good Index going from 2.5 to 3.4 in 2023, because of our sustainability. We are a listed company, and this is very important. And all of this was based on stringent criteria of almost 300 indicators. And this is used as a reference for the indication of the most important companies. Thank you very much, and that is it.
Marcelo Cunha Ribeiro: Well, thank you, Helena. Now, we will now go on to the questions. And before this, I would like to give the floor to Benjamin Steinbruch for his remarks.
Benjamin Steinbruch: Good morning, everybody, and thank you for participating in the presentation of results for CSN. I would quickly like to summarize my assessment of where we stand at present basically looking at the efforts that were deployed in the past going through the steel area as part of what we had already presented regarding the difficulties of production. We began the year with a bit of difficulties during the first half of the year, we addressed and balanced out production. And we are beginning the second half of the year with a more balanced production and with the vision that there will be recovery, thanks to all of the measures that have been adopted. What is more important was to stabilize the process. And now that it has been stabilized. We will go on to recovery and the growth in production. As a result, this will lead to a reduction in cost, not only because of the improvements in production, productivity as a whole and also because of what is happening with raw material, there has been a drop in the cost of raw material. And beginning in the second half of the year, this, of course, will benefit us in all of the segments in which we work. This drop will achieve a very interesting combination. It will enhance production and reduce costs. Well, sales has never been a problem for us. We had a surplus and excess of orders. We had a certain delay because of this break in production. We were able to offset this by purchasing outside products such as the hot slabs. And in the second semester, we're seeking normalcy with a better production, a drop in costs, an increase in productivity and consequently, an enhancement in our margins. In terms of mining, the situation is quite different. We had a very good production. Quantitatively, the results were very good. Even with our purchases, we did enhance our performance at the port. We [shipped more] products and what had been foreseen. Thanks to that possibility of selling lower-grade iron products. We were successful in what we try to do to have more purchases, more shipments, increase in sales. And we now have the hope that China will renew its efforts towards making its economy grow. The entire world is depending on this. And I believe that this will happen soon, perhaps not in a spectacular way, but they will adopt measures to resume the Chinese economy. What we continue to do, what we can do working on the cost, on productivity gains, and we have done this successfully since the first quarter, and we count upon an improvement in prices, stability. We were penalized because of the open prices as everybody else was, but we do believe that going forward, the prices will become more aligned, and we will be able to make the most of all of the efforts we devoted quantitatively speaking, mining is doing very well. And in terms of cost, also thanks to the efforts that were set forth. And the margins will return to a more normal level. When it comes to cement, as you have been following up, we deployed great efforts. Our proposals since the acquisition of Lafarge Holcim was to work at full steam, looking for a full production capacity. We're very close to achieving this. On one month, we achieved nominal capacity. We had during the semester, 3.4 million tons. Our goal is to reach 3.6 million tons. And I believe that our purpose will be complied with. We also had a cost reduction that was very efficient. We eliminated our main cost in the production of cement, and this was already underway and will continue on because of the drop of prices in raw materials. And I do believe that we will have a very appropriate performance as part of what we set forth to do at the beginning of the year. And we -- thanks to everything that we have done should have a very good second half of the year. Confirming the guidance that we mentioned at the beginning of the year. In cash generation, we're working strongly. We have a positive cash generation in the second quarter. And well, historically, we tend to do this for the second half of the year. I do believe we will achieve this and this will lead to a greater deleveraging greater than what we had set forth to do this year, which would be net debt EBITDA at 1.95x, which, of course, is our goal. Now regarding ESG as Helena mentioned, we're working throughout the entire company with this. And in technology, we're doing everything that can possibly be done facing challenges to put the Company in a position where it is at the forefront. Our idea based on everything that already been said is to consolidate our efforts and to maintain [a catastrophe of approximately BRL15 billion]. This is one of our challenges and one of our assumptions that this will be possible. It is a sort of insurance for the times that we are going through with financial volatility worldwide. We consider this as a type of insurance, leverage standing at 1.95x, last year, we had [CEEE]. We had the acquisition of Lafarge Holcim, which means that this net debt EBITDA ratios had a certain slippage because of this. And our goal, our priority is to return to our initial commitment. The guidance is 1.95x, an increase of production everywhere in the steel mills, in mining, as well as in cement. Having surpassed what was a challenge for us at the beginning, and we're under the obligation of also complying with the production guidance, a very strong reduction of cost because of the increase in production, the reduction in price of raw margin, raw materials and better margins. We're truly working towards this to see once again in the third quarter, the historical margins that we have always operated with a greater cash generation that will contribute to the deleveraging, those BRL15 billion that we would like to have. And our main banner at present is ESG. We know what the path is. We know what we want to attain. In technology, we're offering [full effort to have an evolution not only in health], but also use the state-of-the-art technology worldwide. We want to become an important benchmark or the leaders in that technological and ESG evolution. This is what I wanted to share with you, and we can now go on to our questions. Thank you.
Operator: [Operator Instructions] The first question comes from Caio Greiner from BTG Pactual.
Caio Greiner: Good morning to everybody, and we have two questions. A question for Martinez. If you could share with us the general panorama of the steel market in Brazil, I think that we're still suffering from problems. There is a high import parity. We're below that. There has been a drop in prices in the last few weeks. So what is your outlook because of these variables? If you could share these with us your forecast of demand for steel this year, that would be very helpful. The second question for our short-term discussion from Benjamin, I would like to hear somewhat more about your strategic plan for the long run. We see that the capital market has become ever more active in the last few weeks. And does this mean you're going to return to the CSN plants for the long term? You had spoken of becoming a holding with several subsidiaries. And perhaps this is relevant because the leverage is somewhat above your goal. Can we begin in the coming months, perhaps to think about those plans that you had for IPOs in cement, energy or even steel or a primary injection to aid and abet your growth in the market? Or if you are waiting for a greater deleveraging of the Company to [195 or perhaps below 195]. If this could be done with the help of the capital market. So if you could share your long-term strategy so that we can better foresee this evolution. And if you could share with us other plans or strategies that you are planning for the coming months to help you in the reduction of leverage.
Luis Martinez: Good morning, Caio. And I will speak a bit more to give you a general understanding of what is happening in the import markets and much more. And I have very good news happening in China. Today, particularly, we received a CRU report beginning with an important figure for BQ. And this is something that came today. It's not referring to the last week. It is an increase of $30 in the price of BQ went from [45 to 563, 564]. A very good piece of news. And I have spoken to our personnel in Hong Kong and our traders about what is already doing well in China. The production in the first half of the year was good, but they're going to restrict production in the second half of the year to combat pollution. This is one of the reasons. The second reason is that there is a problem with margins. Most of the Chinese companies, the broad majority is operating with a negative margin with losses, and this includes the government and the private and mix companies. This is a given. There's nothing to debate here. Another important thing is the package that they normally prepare for the commodities market. Everything points to the fact and this will be announced soon that there will be a cut in interest rate. That is a given. And it seems that this stimuli will be for the construction and automotive segments, particularly, and to help us in Brazil, it also seems that the level of exports they foresee will return to the pre-pandemic levels. All of this jointly will conspire to help achieve a more balanced market internationally. We are considering a scenario for China of the market with higher prices. This has already materialized in the CRU. This is a very important piece of data from China that is in accordance with the scenario of Brazil that I will refer to soon. In the United States, so far so good, domestic manufacturers, employment, everybody is working. There are lots of reports. There's nothing to do in terms of the market, the industry working at full steam, everybody speaking about doubling this. And the price of BQ although having a slight drop continues to be very steep. $950 to $1,000. There's nothing to say here. Now Mexico follows lead. And in the United States and Mexico, we have a very close and umbilical relationship. It's not having differences. We have excellence in manufacturing and Mexico and the U.S. are considered a single country. Europe, as I tend to say, very stable with a consolidated economy suffering because of the market, because of the energy, Germany, the war and Benjamin mentioned this. Perhaps it will take longer for this to get to Brazil is the onboarding mechanism that is being discussed between Europe and the United States. What is interesting and that happened in Europe is that they quickly adopted measures with the arrival of imported products. There was a sudden increase of imports in Europe. The next day a week later, there was a safeguard of 15%, which means that Europe, following the same scheme of the United States. It is a very close market, both in the United States and Europe and in Brazil, we have been facing a situation regarding imports that is leading to a competitive asymmetry. That is very difficult. This year we might have imports that are greater than 20%, not because the demand is bad. We have been through worst moments in Brazil. In 2010 to 2013, [BRL25 million]. We're in that value of 2015, 2015 in [BRL21 million. It's not that we are at BRL13 million]. The market is not that. The problem is that with those [BRL13 million, we're running the risk of having 2 million or 2.5 million] imports will truly hamper our performance. We need a measure. I'm now referring to protectionism, but we should have a better symmetry in terms of competition, not only when it comes to Chinese imports, but others as well. The broad majority, of course, are Chinese imports. We can't simply sit around and watch what is happening. And CSN is very strong in the coated material. We also have good news. The unexpected reduction of 0.5% in our interest rate with very positive results. In my opinion, of course, it's not exceptional, but most certainly, it will help the consumer goods and construction segments, even the automotive sector, the measure imposed by the government, did help and abet this increasing sales by 27%. If somebody will pay for this later, yes, but the sales did increase. These are measures that helped at a specific point in time and with a reduction of interest rates with a gradual reduction. In the second half of the year, we should have a more stable demand in the distribution sector, in the truck sector, we have different variables. In distribution. they're not working with high inventories. Trucks are being sold well, but less because of the €6. Now if we look at the sector as a whole, it's stable at [BRL13 million]. We have to be careful with the imports and with low inventories. When it comes to prices, we're heading towards stability and depending on what happens in China. And I think this might be something unexpected. I've seen it happening if there's a leap in prices of $100, depending on how strong the measures are. Perhaps we can think of a realignment of prices in Brazil. All of this will depend on how the market advances. We had margins of $500 per ton, and our margins have dropped considerably. No steel plant in Brazil can work with such low margins. We have to increase them with a cost reduction and also increasing the wealth of our portfolio, trying to recover price margins. Now when it comes to the volumes, we are forecasting a stronger third quarter in terms of volumes. As Benjamin mentioned, there will be a cost recovery that will help us to better position ourselves in the market. We have to be more cautious, not to attack the margin and -- the market and maintain our margins. Prices will have to remain stable. But with this, we can move more in areas where we have higher competitiveness with our products, especially in coated products. Now this is a situation at present in Brazil for the third quarter. Our vision going forward, I think we're going to have the most positive quarter in the last few years because of that drop in interest rates should extend until the end of the year. Now regarding strategy and Benjamin spoke about the purchase of slabs who help in the -- we have been purchasing slabs. We're doing very well in terms of prices. And this will put us in an interesting position of competitiveness to be able to work with important material that is already in Brazil. It's a reality. That is the scenario that we're considering for Brazil until the end of the year. It was some more lengthy, but I think I was able to set up a very good panorama for Brazil until the end of the year.
Marcelo Cunha Ribeiro: You made a question for Benjamin, Caio, is there any follow-up that you require after what Martinez mentioned?
Caio Greiner: No, that was very good.
Benjamin Steinbruch: Very well, Caio. Regarding your question. Nothing changes after what we have said and our commitment with the market. I can say that we do have some assumptions, some pillars that are fundamental and priorities for us: ESG and technology in the first place; secondly, deleveraging; in the third place, a sound capital structure; fourth, a more adjusted operation and adequate operating margins; and fifth, growth opportunities that we have organically and also through merchants and acquisitions. And this is the order through which we guide ourselves and this is how we work to be able to achieve the growth and development of the Company. By following these parameters, I would like to remind you that last year, we brought in the [indiscernible]. We also paid dividends and the disbursement was of BRL3 billion. Now we should have done all of this with ABS, in terms of technology at the last moment, EDS dropped out. We thought that this was a unique opportunity. We had to mobilize and in 48 hours, we were able to replace this surprise of the exit of EDS by preparing our proposal as part of the auction, and we ended up with 100% of CEEE. Subsequently, we had the purchase of our share in Eletrobras. We ended up with 100% of the Company. And in cement, we also deployed great efforts that we do not regret. This has led to a great deal of synergy, synergy that is being delivered now as foreseen. And we think this was a valid necessary effort, highly promising when it comes to our cement business. So we leveraged those BRL13 billion. It was not our strategy, in the part of cement, as our priority strategically was to find opportunities outside of Brazil. We do believe we have to have assets abroad, make investments abroad to continue to grow in Brazil. This is our priority, but we had CEEE and Lafarge Holcim. We had to make an offer. We thought this was a valid and viable effort. And we're presently working towards deleveraging until the end of the year to reach that 1.95x, which is the commitment to the market and a commitment to ourselves. We're making monstrous efforts to recover our margins, as has already been mentioned and to increase our cash that will help us in deleveraging. But we also have to consider the market opportunities. And if opportunities appear, the market is looking at these opportunities more clearly, and we believe that CEEE and the Lafarge Holcim operation have added a great deal to our assets. We're analyzing other market opportunities as was our initial plan. In cement, the idea was to carry out an IPO in the past. We continue to work towards this. And at the same time, we're lengthening our debt, which is another priority to have a debt that will be diluted through time. Basically, this is our strategy. And as part of this, the Company works exclusively according to whatever is more state-of-the-art in ESG and technology. And Caio, I forgot to refer to the BRL2.7 billion in dividends, which was another commitment, as we prioritize growth, and we left our shareholders lagging somewhat behind. And although the deleveraging part is a priority, we would like to award our shareholders with higher dividends, which is what we [do later] and will repeat this year. But dividends come after the deleveraging. And regarding the sound capital structure that we would like to have going forward. Several opportunities will come about, and we would like to be prepared to [what we survey] them. Now that alteration that hampered us so much in the steel mill as well as in mining, all of this has been stabilized with a consequent recovery of our operating margins. With all of this, we believe that we can maintain ESG, deleveraging of capital structure, the payment of dividends and a more adjusted operation with adequate margins. We will then see growth opportunities within the businesses that we are already in. There will be no surprises outside of the [realm where] we already work. And this justifies what we want to do with the Company. I would say that we are in a moment of balance in that quest for deleveraging, analyzing opportunities that may arise and that will contribute to the growth of the Company to strengthening our EBITDA and our net debt EBITDA ratio in the Company. So what will come will be to cooperate with the growth of our present day businesses with an appropriate EBITDA that will just define a financial [that was made] and that will enable the Company to continue following the priorities I have just mentioned in the order that they were mentioned.
Operator: Our next question comes from Daniel Sasson from Itau BBA.
Daniel Sasson: Good afternoon to all of you. My question perhaps is [geared to] Benjamin. If you could remark on what changes in your [indiscernible] as one of the main domestic competitors have controllers. And what will happen in the market and what will happen with the plans that you continue to have in Usiminas. Does this change anything? And what is your vision on the change of structure in the industry? My second question to Martinez. You spoke about the synergies of your integration with Lafarge Holcim, the margins continue to be stable at 20%. If you can give more color in terms of your expectations for the second half of the year, what can be improved in terms of costs and prices?
Luis Martinez: Well, to begin with the synergies, Daniel, we had detailed this in our Investor Day of more than [BRL500 million], and we're quite confident that we will obtain this because of the commercial synergies, the increase in volume we already see, as Benjamin mentioned, we are able to provide that nominal capacity in energy as well because of our own synergies and the cost of our self-production inbound logistics and outbound as well, a better reach of our customers and purchase of raw material. So luckily, all of this has happened at the right pace and the amount that we expect. We will now be awarded with two things, an important drop in pet coke, more than 25% of drop in six months, which will help our cash that we use as a metric. It is almost BRL200 per ton when we began the year, and we're going to get to the end of the year at BRL160, important reductions of 20% [underway]. The price, we don't control, but we do think it will increase because of the performance of the construction sector. We have already made some movements [in this May]. So thanks to this combination. We think [indiscernible] 20% margins will increase the levels we had in the past of 30%. That is the magnitude that we would like to deliver with an increase in sales not only a growth of 50% in percentages, but also an increase in sales. And in nominal terms, EBITDA should increase more than that in coming quarters. In terms of cement, this is what I would like to convey. Now to complement Marcelo, Daniel and you cover that sector, and I read a great deal about the reports saying that we have price over volume, volume over price. And at CSN, we don't have that. Here are we seeking in truth, we did not have a way out, and I have to explain this. Clearly, there is no magic in this. We acquired a company that has a complementary product portfolio for CSN. Imagine this, I had a portfolio that was 85% to 90% products and bags, and we have a company that fits in with more technical products than ours. Everything was for the retail market, and that had idle capacity and the ability to reduce prices and energy. There wasn't anything left to do to put equipment to put it working, which is precisely what we did. Yes, we did have to have a market penetration strategy, but we also have to consider when we look at the market as a whole, that this growth was a very responsible one. It [wasn't] done at the cost of destroying value quite a contrary. We grew in the market now. We have the highest margin in the sector. And this is interesting. I think this is something we should celebrate. Regarding our price initiatives, yes. We have worked on those initiatives. Now regionally, CSN still has some limitations in some regions. We're working on this to become more fragmented, and this should happen now with the equipment that we're putting to work in other regions of Sao Paulo and some regions in the Northeast. In one or two months, after one year with the Company, we will reach the peak of our maximum synergy with operational excellence. From the commercial viewpoint, I'm in 99% of the channels practically very well established in bulk in the technical area. We cover the sector. I already have a strategy of how to work with the premolding sector. And in the retail area, we have worked with independent distributors and our own [DCs]. It's not only about looking at the figures, the figures themselves show a very positive evolution. But they're more positive than we can see in the figure. We could have destroyed value, which is something that did not materialize with the reduction of pet coke and with the values we have attained. We have a much lower cost in our assets, and we have acquired companies with a higher cost that -- well, all of this has equaled out. And without a doubt, in the second half of the year, these margins should increase to 25% to 30% due to the cost or price, this fragmenting and because of a better choice of channels for cement. And this is what I would like to underscore as part of our strategy for the sector, for the growth in the sector.
Daniel Sasson: That was very good.
Benjamin Steinbruch: Daniel, regarding Usiminas, there's nothing [normal in this]. We're convinced that they materialize something that we had been speaking about since the entry of Usiminas with a change in control and the change in management. We knew that -- well, we knew who was a manager of Usiminas and nothing changes. Everything continues the same. They have activated publicly what we already knew was happening in-house. And what we had said materialized that they were the managers and that they were responsible for Usiminas. We were left outside of this process. We're just investors, and we continue to wish them much luck, and we hope that they will have good results for the valuation and to pay out dividends for the shareholders.
Operator: The next question comes from Thiago Lofiego from Bradesco BBI.
Thiago Lofiego: Good morning or good afternoon. Very quick questions to Martinez. Martinez, which is the evolution of your contracts? Are you working with semestral contracts because of price variation. Secondly, a question on cost. You mentioned the cost reduction for the steel in the second half of the year. If you could quantify this, please.
Luis Martinez: Thiago, how are you? Good day. Now, the -- I think the market has changed as well. Our competitors are negotiating semesters or continue to speak about quarters. Our share in the sector was never very large. We have one or two players in the sector. I believe it's the automotive sector. We're more focused on spare parts. This is where we negotiate spot prices for two or three months. So in the case of assembly plants, we had already aligned the prices in the last semester. We had a minor discount of 5% that we communicated in the last call. There's nothing else left to do. There are no more discounts, quite the contrary, depending on what will happen in the market, perhaps we will have to converse again in the fourth quarter. But in the fourth quarter, we will begin to negotiate only in -- at the end of August or beginning of September. We always leave this to the very last minute, waiting to see what happens in the market.
Thiago Lofiego: Will this impact the third quarter?
Luis Martinez: No, there will be no impact whatsoever in the third quarter, Thiago. What we have to do is hold on to the prices because there is enormous pressure because of imports pressure to reduce prices. It wasn't easy to hold on to these prices in the second quarter. We had to work very much to be able to hold on to those prices. The premium was never so high as in the second quarter. It was 40%, 41%, 36%. It has now dropped. But I'm more optimistic with what will happen in China now, not even the Chinese can bear those low prices and they need to improve them. They can continue with that situation much longer. These negative margins are not healthy. I think we will go into a situation with greater stability. And I say that as Brazil, where the backyard of China for everything, we -- everything that we have for still comes to Brazil from China and our commercial defense is a trade remedy that the entire world uses. This is something that Brazil needs to truly improve.
Thiago Lofiego: Well, very quickly has anything similar happened in the automotive market or with other industrial clients?
Luis Martinez: We do have white line appliances, but the dynamic is somewhat different. We had to do something that was a onetime thing in white line. They follow the market prices and not the spot market, but they follow this with a delay of 1 month, 1.5 month, whatever happens in the spot market. This is the dynamic. Now the steel price, the less distortions we have, the better. Distribution is not the market. It's a channel, it sells to the same clients in lower amounts. So the less distortion, the better. We continue to believe that these gaps of prices in negotiations will have to shrink ever more to have a more balanced market. When it comes to fare prices for the entire value chain, it's difficult to achieve this. It's not one of the banners of the market as a whole or of competition.
Marcelo Cunha Ribeiro: Regarding cost very quickly. We have a guidance, Thiago, were in July, and in July, we had a drop of a low double digit that was the average for the second quarter. And more importantly, we think that until the end of the year, there will be a significant drop, a low double digit to reflect the higher productivity and the drop of raw materials as well.
Operator: The next question comes from Caio Ribeiro from Bank of America.
Caio Ribeiro: Good afternoon, everybody. First of all, I would like to return to the discussion of the Brazilian steel market. Martinez has added quite a bit of color speaking about the imported products. Could you also speak about the impact that you foresee with the return of the high furnace in -- the blast furnace in September and because of the timing of the ramp-up, this will reach a period that tends to be weaker in terms of the industrial park.The second question regarding your energy, part of the deleveraging you are bringing a partner for the structure, especially for the CEEE asset? Is this still an option? And which would be the timing for this option?
Marcelo Cunha Ribeiro: In the case of Usiminas, the return of the blast furnace will not change everything. It offset the top of blast furnace with something else. They bought slabs. They will stop buying slabs, buy less and produce them in-house. There will be no direct impact in terms of production. The market will remain the same. Now regarding energy, Caio. This is ongoing. We're satisfied with the evolution and the result of CEEE with a performance better than we had imagined during the acquisition, operating a very strong turnaround, investment plans and the management of liabilities that we inherited, all of this is doing quite well. Now we have a use of only half of the energy. The other energy is marketed. In the short term, our decision, our strategic decision going forward is to maximize the value of that other 50% of energy that we can't use in projects in-house to help our growth. Nothing would be better than to use energy for our own self projection. But nothing has truly appeared. And the idea of a partner that was our original idea would also be substituted with an expert in marketing the energy. We have held very interesting conversations. We're trying to see which would be the best design for this without any haste. And we will take a decision in the coming months until the end of the year, we should make a decision.
Operator: The next question will be in English from Carlos De Alba from Morgan Stanley.
Carlos de Alba: So the question I have is just a clarification, perhaps, but on explaining the increase in leverage, it's -- the release, and I think your comments mentioned that this was a one-off increase in leverage, mainly because of the result of the dividend impairments, sorry, the payment of dividends of BRL2.7 billion. So my question is if the dividends will stop or will come down because if not, then it's not really in my opinion, a one-off and the dividend payments are going to be recurrent, I would like to understand how is the Company planning on reducing leverage without depending on higher commodity prices. Just -- it wasn't clear to me how that will be achieved. Do you have more options to increase volumes significantly or reduce cost significantly or reduce working capital significantly or maybe it's all of the above. But I just wasn't very clear what that one-off commitment.
Marcelo Cunha Ribeiro: That was an extraordinary expense. It was the amount of the dividends that were paid now. We reached the level of BRL2.7 billion. Last year, we were very close to BRL1 billion per semester. So as a plan, we want to return to these previous levels every year, we would be saving that BRL3.4 billion. The difference of BRL2 billion per year, BRL5.4 billion. This is because of that extraordinary nature of what happened in the last six months, and we want to improve our cash flow. And this will reduce our leverage. And of course, we have other projects, the cement IPO, the potential partnership in terms of energy, all of which will guarantee a very rapid deleveraging to the levels of our guidance. And even without these initiatives, as we are generating cash, the leverage -- the deleveraging will come anyway, but we want this to happen before the end of this year. We will have lower dividends in the second half of the year, enhancing results with a cash generation with new initiatives that will help us to attain that 1.95x as mentioned.
Carlos de Alba: All right. And just one question then. So could you repeat what is the level of dividends that you are now targeting? Did I hear you well and it's going to be around BRL1 billion, BRL1.1 billion. Is this per quarter?
Marcelo Cunha Ribeiro: Yes, you heard me well, Carlos. That's what I said. We're going to back -- going back to our historical levels that were around that figure. These are not quarterly figures they are for half of the year.
Operator: The next question comes from Vanessa Quiroga from Credit Suisse.
Vanessa Quiroga: My question is about the [prepayment points], which is the percentage of the volume of iron ore that has been closes in that type of contract, which are your maximum volumes. The second question, if you could mention other strategies to attain the deleveraging. You spoke about the IPO of cement, the partnerships? Do you still have other initiatives that you're working on?
Marcelo Cunha Ribeiro: In terms of the prepayments, it's important to clarify that although the financial volumes are significant in terms of the iron ore for exports that they represent, these are lower. The anticipated value per ton has increased. So we have committed less and less future tons. And we hope that the coming year, we will have 6.6 million tons of the [40%] that we should sell or more. All of this will be committed in this structure, about 15%. This is what we expect to follow. We don't expect to increase this or increase this percentage. What we did in the past was to reach very similar levels. We're going to amortize them as they mature, and then we go back to work with this balance again, and this is how we're going to continue in the coming years without significant changes in the amounts committed. Regarding other initiatives, once again the search of a partner -- we could go back to our original plan to control the Company, which would leave us to deconsolidating the balance. And if we speak about the cement IPO and speak about successful IPOs, we're thinking of a similar figure, BRL3 billion. These are very robust initiatives highly aligned with our strategy, and that will bring about the deleverage in the short term. I think this is more than sufficient to comply with our guidance.
Operator: Well, thank you. As we have no further questions, we will return the floor to Mr. Marcelo Cunha Ribeiro, the CFO and Executive IRO, for the closing remarks.
Marcelo Cunha Ribeiro: I would simply like to thank all of you for your attendance in our call, and we hope to see you in the call for the third quarter. Have a good afternoon.
Operator: Thank you. The CSN earnings conference has come to an end. You can now disconnect and have a good day.